Operator: Good day and welcome to PFG's Fiscal Year First Quarter 2021 Earnings Conference Call. . I would now like to turn the call over to Mr. Bill Marshall, Vice President, Investor Relations for PFG. Please go ahead, sir.
Bill Marshall: Thank you, Maria, and good morning. We're here with George Holm, PFG's CEO and Jim Hope, PFG's CFO. We issued a press release regarding our 2021 fiscal first quarter results this morning which can be found in the Investor Relations section of our website at pfgc.com. During the call today, unless otherwise stated, we're comparing results for the same period in our 2020 fiscal first quarter. The results discussed on this call include GAAP and non-GAAP results adjusted for certain items. The reconciliation of these non-GAAP measures to the corresponding GAAP measures can be found at the back of the earnings release. Our remarks on this call and in the earnings release contain forward-looking statements and projections of future results. Please review the cautionary forward-looking statements section in today's earnings release and our SEC filings for various factors that could cause our actual results to differ materially from our forward-looking statements and projections. Now, I'd like to turn the call over to George.
George Holm: Thanks, Bill. Good morning, everyone, and thank you for joining our call today. I'm very pleased with the start to fiscal 2021. Our first quarter results came in ahead of our expectations as the business recovery remains on track and we continue to outpace the foodservice industry. We continue to win new business particularly in the independent restaurant channel, which resulted in year-over-year gross margin expansion during the quarter. Meanwhile, the Reinhart transaction has exceeded our expectations and proven to be a strong cultural and operational fit with the Legacy Performance Foodservice business. This gives us confidence in our ability to bring future Reinhart sales growth to be more in line with our Legacy Performance Foodservice business. Reinhart's integration into the PFG family, which includes successful technology transition and sales compensation conversions, has continued to progress smoothly and our synergy efforts similarly remain on track, which should result in roughly $15 million of annualized cost synergies in the third full fiscal year following the closing. As a result of all this work, we continue to expect long-term value creation from Reinhart, an exciting prospect for the years ahead for Performance Food Group. The Eby-Brown business has also continued to produce good results the past several months. While many of this stars channels have experienced significant disruption, the convenience store channel has kept moving forward growing sales year-over-year. Keep in mind that we now have fully lapped the Eby-Brown acquisition, so the sales and earnings growth that they generate is fully organic. Before we discuss our first quarter results in more detail, I'd like to address the current operating environment. While it is still very early, we're not yet experiencing the negative impact from the cooler fall weather. In fact, our weekly sales trends have held steady through September and October, hitting the pro forma Reinhart results in the year-ago period, PFG's consolidated net sales were down 8.4% in September, approximately 8% in October. This is an improvement from the 10.9% decline in the month of August. While this has been some modest improvement -- while there has been some modest improvement in Legacy Vistar that business continued to be pressured by a handful of channels. In particular, we continue to expect a very slow recovery at movie theaters, office coffee services, travel, and hospitality. While none of us can predict the future, we remain extremely well-positioned in the segments of the restaurant industry that have performed well during these challenging times. With that said, the factors out of our control do produce a more challenging environment. We believe that our customers and PFG operations leaders now have a playbook to adjust and can push through until we eventually get to a level of normalcy. For our part, we'll continue to support our customers and look for opportunities to expand our market share. During our year-end call in August, you may recall that we discussed our strong market share gains, driven by our Salesforce investments, and business mix. I'm pleased to report that these trends continued in the first quarter, as well and weâre particularly happy with our performance within the independent channel. For the quarter, our independent cases grew 28% compared to a total case volume growth of 8.9%. Excluding the contributions from Reinhart, independent organic cases were down just 6.3% during the quarter, a fantastic outcome given the situation. Not surprisingly, we've been asked about the impact that business trends would have in our margin structure. We're therefore very pleased to report our first quarter gross margins expanded to 11.6% from 11.4% in the year-ago period, despite the dilutive impact from faster growth in the convenience store channel, which has lower margins than the rest of our business. We're pleased with our organizations focus on cost control. We believe, we have found the right balance between controlling costs to match demand, and equally as important taking care of our customers during the recovery. We're experiencing higher inbound freight costs due to tightening capacity, particularly in recent weeks. While we feel good about our carrier relationships and our ability to effectively manage this cost item, we would expect some near-term cost pressure. Also, as we discussed last quarter, we continue to bring the associates back from furlough as sales trends have improved. In addition to servicing the needs of our core business and valued customers, PFG associates continue to focus on helping the communities we serve. Over the past few months, their generosity has helped our neighbors in need across the country. Our newest community relationship is with the American Heart Association, as the presenting sponsor for the Richmond Heart Walk. This was important to us because heart-related issues affect so many. It was a great opportunity to support our communities and reinforce our associates that health and wellness our priorities. Many associates provided support as part of the steering committee and as enthusiastic coaches for PFG's 17 teams. While it normally would have been only a local Richmond, Virginia event, it became a virtual walk in PFG Associates across the country joined in. One of our longest standing community partnerships is with Feeding America. We know the need continues to grow and during this year's hunger action month campaign in September, our associates generously donated online to benefit Feeding America network of food banks across the country. As a company, we have proudly provided financial and food donations for many years. From our associate food drives and donations from our operating companies throughout the year, we've donated on average more than Â£1 million a year. And finally, PFG is pleased to again be offering a match for donations, our associates make to the American Red Cross, Hurricane and Disaster Relief Efforts. With wildfires in the West, and very active hurricane season in the East, our associates are giving generously here to help the communities where we live, where we work, and to serve our customers. In closing, let me thank our PFG associates for the work they do every day for our business, and the customers and communities we serve. While many organizations are struggling, our PFG family has come together to support one another and those around us. Company morale is strong, and it shows through in our business results, and in many other intangible ways. This sets our organization apart from others and drives us forward as a true industry leader. With that, I'm going to turn things over to Jim, who will give you more detail on our first quarter and financial position.
Jim Hope: Thank you, George, and good morning, everyone. Let's start with a quick overview of our results. For the first quarter of fiscal 2021, we're very pleased with the progress our company achieved in the first quarter. While COVID-19 continues to impact our customers and industry, we have seen a continual sequential improvement in our business. As a reminder, we have now fully left the acquisition of Eby-Brown, but these results do include the acquisition benefit from Reinhart. Total case volume increased 8.9% in the first quarter compared to the prior-year period, driven by the acquisition of Reinhart. Underlying organic case volume which excludes Reinhart declined 17.5% in the first fiscal quarter. Independent cases were up 28% in the quarter, including Reinhart, and were down just 6.3% on an organic basis. Our continued outperformance in the independent channel continues to drive positive mix shift. Net sales grew 12.9% in the first quarter of fiscal 2021 to $7 billion. The acquisition of Reinhart contributed approximately $1.5 billion to net sales in the quarter. Overall food cost inflation was approximately 1.5% in the first quarter, driven by inflation in cheese, in particularly mozzarella and meat. Gross profit for the first quarter of fiscal 2021 increased 14.6% to $815.5 million as compared to the prior-year period. Gross profit per case was up $0.25 in the first quarter versus the prior-year period. Gross profit margin as a percentage of net sales was 11.6% for the first quarter compared to 11.4% for the prior-year period. Total gross margin growth in the first quarter of fiscal 2021 due to improved channel and product mix, despite growth in the lower margin convenience store channel and an $11.9 million inventory write-off which was $5.7 million higher than in the prior-year period. We're very pleased with our gross margin results and believe it speaks to the long-term profit potential of our business. Operating expenses rose by 20.3% in the first quarter compared to the prior-year period. The increase in operating expenses was primarily due to the Reinhart acquisition. We continue to focus on managing our operating expense to match demand, though we would expect to continue to see our OpEx increase as we adjust to the business recovery. In the first quarter, adjusted EBITDA rose 5.9% compared to the prior-year period to $135.2 million. The diluted loss per share was $0.01 in the first quarter compared to diluted EPS of $0.34 in the prior-year period. Adjusted diluted earnings per share was $0.25 in the first quarter. Let's now turn to first quarter results for our two segments. Our Foodservice segment's fiscal first quarter net sales grew 28.1% to $5 billion driven by the acquisition of Reinhart. Foodservice EBITDA increased 50.2% in the first quarter to $156.2 million. Net sales for Vistar decreased 13.2% in the first quarter compared to the prior-year period to $2 billion. First quarter EBITDA for Vistar was $11.7 million, a 77.3% decline over the prior-year. I'd like to briefly discuss our liquidity and cash flow profile. As we mentioned on our last earnings conference call, we had significant working capital gains in fiscal 2020 and expected some of that to reverse in early 2021. Well, that was the case. I'm very pleased with our organization's continued focus on working capital. In the first quarter, PFG used $132 million in cash from operating activities, largely driven by the payment of the Eby-Brown earnouts and investments in working capital. Looking ahead, we expect to continue using our liquidity to build inventory levels and to keep pace with demand recovery in the marketplace. With that said we feel very comfortable with our current cash position and believe it will put our company in a strong position to continue to invest in building our market share and solidify our position in the food distribution industry. PFG invested $40.8 million in capital expenditures during the first quarter of fiscal 2021, an increase of $18 million over last year. We will continue to spend on future growth opportunities including increased capacity and new lines of business. We ended the quarter with another strong total liquidity position of nearly $2 billion. Our liquidity at the end of the fiscal first quarter consisted of about $417 million of cash, plus more than $1.5 billion of availability on our ABL facility. In the near-term, we'll continue to look for organic market share opportunities, and we'll use our liquidity to service our customers. However, the strength of our balance sheet has also positioned PFG to take advantage of M&A opportunities that may arise over the intermediate term. As always, we intend to be disciplined with our capital allocation and strive to pursue targeted transactions that would enhance shareholder value. We remain very encouraged by the sequential stabilization in our weekly sales trends, even as we start to enter the cooler weather of the fall season. While we expect a slower recovery at Vistar, our organization has adjusted to the operating environment, and remains well-positioned to strengthen our market share across our businesses. Still, despite our confidence and the resilience of our business, there remains a good deal of uncertainty for at least the next several months. We hope to be in a position to provide meaningful forward-looking guidance as the winter progresses, and our near-term visibility improves. In summary, we feel very good about how our business is positioned and the accomplishments that our organization has made. Our liquidity and working capital management has been strong, and we believe it positions us well for the long-term. The strong recovery in our weekly sales is continued into the fall and our Salesforce remains focused on taking market share, to build upon our strong position in the food distribution industry. We do appreciate your interest in Performance Food Group. And with that, we'd be happy to take your questions.
Operator: Thank you. The floor is now open for questions. . Our first question comes from the line of Edward Kelly of Wells Fargo.
Edward Kelly: Hi, good morning guys. George, maybe just starting out, could you provide a little bit more color on current case growth trends? I think what you're saying, and it certainly sounds encouraging, given the weather and rising COVID cases? I'm kind of curious as to, is there any color by region, that sort of gives you a better peek into the next couple of months? What are your thoughts generally about any potential setback? And if that were to occur, does it change the way that you would think about the other side of COVID meaning your independents may get through any setback? Any concerns there?
George Holm: Well, with the independent, we're encouraged that they've just done so well with takeout curbside and of course we're concerned with the weather getting cooler, but we haven't seen that affect us. We're continuing to make progress versus the previous year, not at the rate we were before but continue to make progress. As far as the regional, that's pretty simple. The Northeast is still heavily affected, Chicago, Wisconsin, and the West Coast. And you get outside of those areas and almost all of our companies are running sales increases. But those are still; those areas are still pretty heavily affected.
Edward Kelly: As we think about the margin performance going forward EBITDA margin this quarter, I think really encouraging just given where we are at this point. There are some really unusual things going on in your mix, I think. And obviously, your independent business been good, you put yourself in a lot of PPE; your C-Store business has been good. How do we think about the progression now of the margin performance going forward here?
George Holm: Well, the margin growth we've had is pretty much all driven by change in mix with the independent growing or declining at a much slower rate than our total business. But a pretty significant swing in mix in our Vistar channel with convenience having increased dollars. Unfortunately, a lot of that coming from the cigarette part of the business which has very high case costs. Theater is our low case cost area and that's all but then shut down. So it has had a pretty big mix change for us. Also, when you look at our Foodservice business, the delta between our inflation rate and our average, our average case is up about twice the percentage of the inflation. And that's just been driven by strong growth in center of the plate. And then within meat and cheese, it's our highest priced most expensive brands in those two categories that have been leading the way with growth. So it's just a bit, I would call it an unusual quarter, Ed as far as the delta between case growth and dollar growth.
Edward Kelly: Just last one for you, George, I mean, you mentioned M&A opportunity, any color on limitations here just given current leverage integration at Reinhart? What's the opportunity, sort of like shaping up out there like and what you're looking for generally?
George Holm: Well, we would love to be acquisitive always -- always like to be acquisitive. It's just a real difficult time, and we certainly have the capital structure to do it. To value a company today is just really difficult. And we don't want to spend a great deal of time on that not to only to end-up where we can't meet the needs of the seller, and our need to make sure that we're not overpaying for the company. So it's just a difficult time. But we certainly feel that when we get back to at least some sense of normalcy here that we should be able to get active again.
Operator: Our next question comes from Alex Giaimo of Jefferies.
Alex Giaimo: Thanks. Good morning. I just wanted to ask about your new business wins, and sort of how much you've added since the start of the crisis and any color on the categories and what the pipeline looks like?
George Holm: Well, we added some Foodservice national account business. And that was done towards the tail end of last fiscal year. We've had some small wins in that area, but nothing significant since then. In independent we've seen to be driven surprisingly by more business per customer. That has been the great surprise for us. But, just people have been really effective with their takeout in their curbside. And I think what they've done with volumes down; they're buying from less distributors. So we're actually seeing penetration growth within our customers. And of course, new customers as well, that's always kind of a lifeline. In the convenience area, we do have some additional business coming on there. Some that starts late this quarter, and they will begin to stay. And then, next calendar year, our fiscal third quarter, we got some additional business coming in then so that will certainly be helping us. And really, that's about it. I think the biggest thing for us is just continuing to pick up new accounts. And then as the core Vistar business comes back online, that's going to be a significant contributor for us going forward.
Alex Giaimo: Thanks. And then expanding on that on Eby-Brown, how should we think about the path going forward sort of gaining access to Foodservice sales and convenience channel, I guess sort of paused some of this potential progress, I imagine the crisis but what are your latest thoughts there?
George Holm: Well, the Foodservice business within Eby-Brown has declined. It declined quickly with shelter-in-place and it's just gradually gotten a little bit better but still not close to last year's number. In our Foodservice business, we've actually been doing really well in the convenience store part of our business and it is a growth area for us today.
Operator: Our next question comes from the line of Kelly Bania of BMO Capital.
Kelly Bania: Hi, good morning. Thanks for taking our questions. George, I'm sure you're aware that two of your largest competitors have identified pretty sizable permanent fixed cost savings and it does feel like you guys maybe correct me if I'm wrong are just a little bit more managing variable expenses to where volume is. But I was just wondering if you could talk about what you're seeing from the rest of the players in the market, a lot of the private players and how they're managing expenses, and how you think any of those actions are if at all contributing to your market share gains, or how much you attribute to just your customer mix, your geographic exposure, and just the structure of your business?
George Holm: Well, our customer mix definitely helps us, we have a fairly significant piece of business and that's done well. I think what helps us too is that we went into this running about 7% case growth in independents. So I think we had good momentum going in. It's kind of hard to figure the different things that contribute. The market share numbers that we get really show us running growth in independent in every type of restaurant. I think our Salesforce has just responded well, and has worked hard. It's tough to tell with the independents; I think it says a lot that we haven't seen people go out of business speaks to the incredible resilience that just it's been amazing the resilience that our industry has. Obviously, we feel we're gaining share. I don't know that it would be any more from independent distributors than it would be from the larger distributors, I think it's probably pretty close to whatever percentage people have, that seems to be where we get it, I would say, across the board, but not real significant in any one competitor.
Kelly Bania: And I guess, just a follow-up, any comments or view that you could share with us on your margins? Maybe EBITDA margins, longer-term post-COVID in return to normalization, obviously, there's a synergy impact from Reinhart, which you talked about three years post-closing, but any other factors that can lead the company to a higher margin structure over time? 
George Holm: Well, a lot of that has to do with mix, and the changing mix that we have. But if you look at going through this period of time, I think we've grown some good share in independent. And that's become a bigger part of our business. So that will help our margins by holding on to that. And when you look at the expense part of it, we certainly weren't aggressive, but there are areas of our businesses, we recognize that we will not have the kind of expense that we've had in the past. So I said from early in this that we're not going to come out of this with expense ratios as high as they were before. So that should help us, when it comes to our EBITDA margins.
Operator: Our next question comes from the line of John Glass of Morgan Stanley.
John Glass: Hey, good morning, thanks very much. George, can you maybe talk a little bit more about the success you've had in the independent case growth. Is that really just coming from your core customers at the pizza category of Mexican which you've just been strong through this? Are you seeing a broadening of new customers or adding new they're outside of that category? I'm trying to understand is this just the category being better and you're sort of benefiting from that or if you're actually seeing penetration outside of those categories that in case growth from those independents?
George Holm: Definitely a broadened. We've continued to be real aggressive increase in our skew base. We've been aggressive with our brand, particularly at the higher end. And like I said before, it's every type of restaurant at least the numbers we get show that we've gained share in each type.
John Glass: It's helpful. And then -- and just on Vistar, can you maybe just break down like what C-Stores are running down now relative to theaters, just want to understand sort of the dynamic there, how different are those channels. I understand there is a difference, but how differences are C-Stores now, which is a pretty big part of that business versus the rest of it?
George Holm: Our C-Store channels grow and our Vistar channel is down the core Legacy Vistar, I guess, I would say is down significantly. They're in kind of the firestorm of what's not performing well today. It is a company that would do extremely well again. And the areas that that have seen the significant declines would be anything work-related vending office coffee service and anything travel-related has been highly affected. And people gathering in large crowds I mean, we have a significant theater concessions business and also significant concessions business that is more sports oriented. Just really in the, it's just a tough, tough time for them. Gentleman, resin  business is very good. The Dollar Store business is very good. Surprisingly, retail has been good. The impulse buy item at retail.
John Glass: If I could just add, maybe one final brief follow-up just on freight, what are you seeing in freight rates? What do you think that headwind potentially is in the near-term? And if you change the way you've negotiated freight terms, inbound freight terms, with your suppliers that you think you can manage that, you can match the increased cost of increased allowances, for example, how do you think about freights in the near-term?
Jim Hope: Yes, it's Jim. So first, we wouldn't change our approach, because our approaches help buffer some of the headwind that perhaps we would have gotten if we had managed things differently. I would characterize that as a mild headwind. It's tough for the team that manages it. They're a very strong and experienced group of folks for us. And, I believe they'll be able to work through it as they have in past years.
George Holm: Our focus has always been as much as we can to work on steady relationships, same supplier, not trying to bid it out, not trying to get the last penny, and that really has helped us.
Jim Hope: We have no intention of changing that.
Operator: Our next question comes from the line of John Heinbockel of Guggenheim.
John Heinbockel: Hey George, you guys are always growth-oriented, I'm curious, when you think you may want to pivot even more toward investing in the business for the eventual recovery here, I guess next summer, and how satisfied are you with the growth in quality of people you're seeing on the Salesforce side? You always like to grow that low-single-digit or more better. Where are we there and then where are you with Reinhart in terms of ramping-up their Salesforce?
George Holm: Yes, well our Salesforce today, the average sales per salesperson is at the highest level we've had. And part of that is because we did furloughs some people that were new, that were real new. We've been starting to bring those people back. And I'm finding the quality of the people to be good. I think that we're having higher success rates here of late with new people. And we're continuing to invest and continuing to hire. I don't think there's going to be this huge increase in capital expenditures here. But weâre definitely more aggressive adding capacity. We've got some new facilities that we're going to be doing. Matter of fact, I'm visiting a new one today that we are just opening in the convenience side of our business. But our biggest priority is to get more capacity in Foodservice distribution.
John Heinbockel: So that's the greater priority rather than expanding the Salesforce and how do you think about structure of the Salesforce in terms of where you're today, the idea of adding folks that maybe just purely prospect for new business as opposed to ongoing relationship, is there room to productively kind of tweak the structure or it's where you want it to be?
George Holm: Well, we've always had business development managers that -- their primary responsibility is going out and getting new business. Not an area that we see ourselves growing is really I think we're set there; we've got plenty of people. Our focus is sales people, sales people that have a regular customer base that they see frequently, and that they manage.
Operator: Our next question comes from the line of William Reuter of Bank of America.
Mary Ann: Hi, this is Mary Ann for Bill. Thanks for taking our question. So first just can you touch on your outlook for cost inflation?
Jim Hope: Yes, it's Jim. We provided in the script, we saw around 1.5% inflation; don't have any real reason to see the average number moving. But look, it's unpredictable times. So very difficult to provide outlook, I can tell you, we're prepared with great supplier relationships to manage through whatever challenges we get there and we know how to manage the cost.
Mary Ann: Great. And you mentioned that you've been bringing back a lot of your furloughed associates, but were there any permanent personnel elimination?
George Holm: Yes. I don't -- I really couldn't quantify that. I wouldn't call it real material. But it's certainly going to help us.
Operator: Our next question comes from the line of Jeffrey Bernstein of Barclays.
Jeff Priester: Hey, guys, it's actually Jeff Priester on for Jeff Bernstein. Just on your inventory levels, I know back in the height of the pandemic in March, April, May, the SEC continued to take deliveries and so your inventory levels from maybe a little bit higher than you'd otherwise want them, given the volumes you're seeing at the time, how your inventory levels managed over time, maybe kind of what is your outlook from there? Whether you need to still kind of wind bounce those levels or whether you're now in the build-up process?
George Holm: We're definitely in the build-up process. Just this last week, we have the highest inbound fill rate from our suppliers since shelter-in-place. So that that speaks well that our suppliers are recovering and they're starting to be able to fill our orders. Excess inventory that we had proteins that we had to take to the freezer, that type of issue, that's all behind us. We've got that product sold and out of the buildings. I think that you'll see our inventory levels grow at about the same rate that that our sales grow. But we do feel like that we're in a mode now of kind of rebuilding that inventory level.
Jeff Priester: Got you. And then just digging in on the additional penetration independents do you think you guys are continuing to see a benefit from having those inventory levels maybe at the height of the pandemic but independents know you will have the products available for them. And then also, are there any areas that independents may not have purchased from you guys in the past that they're now purchasing from you to kind of drive that penetration? Just trying to figure out exactly what they're identifying from it?
George Holm: Yes, we're definitely getting new customers. And maybe we made too much of having the inventory. That wasn't a huge period of time. Certainly, our competitors had inventory. I think that our sales people are just getting additional skews into the accounts. And that's a lot of what's driving, I guess, I would say our sales declines not being that bad. But hopefully soon we can talk about sales growth. But I think it's just the salespeople having skews.
Operator: Our next question comes from the line of Rebecca Scheuneman of Morningstar.
Rebecca Scheuneman: Good morning, and thanks for the question. So, earlier this week, one of your largest competitors talks about on how they're going to be developing specialized products and services to be targeting specific restaurant segments such as Italian eateries, which is obviously a big stronghold for you guys. I was wondering if you could just speak to, how you don't plan on defending your positioning there?
George Holm: Well our sales people, probably the biggest thing, we take the product real serious. We're very, very serious about what our product and the price value that it offers. And I don't really see us doing anything different than what we're doing today.
Rebecca Scheuneman: Okay, thanks. And also, I was wondering if you could speak to, what percentage of like permanent store closures you're seeing, some of your competitors have talked about high-single-digits. I'm guessing it's probably lower for you guys. I'd just like to hear your thoughts on that?
George Holm: So, hard number to grab. I would tell you in most parts of the country, what we look at shows us that it is single-digit probably, probably fairly high-single-digit, but it's single-digit difference between customers we sold, I always say pre-shelter in place, and customers we sell now. It's less than 10% of those customers don't buy from us today. Now, that doesn't necessarily mean they're closed. I mean, there's other reasons that you can lose business. When you get to, particularly Metro New York, the Northeast Chicago, the West Coast, much higher numbers, certainly double-digit but this much higher number than rest of the country.
Rebecca Scheuneman: Okay, great. Thank you. And then, lastly, I was just wondering if you could speak to, what percentage of your restaurant sales do you think is eaten off-premise which would kind of help give us some color for how much risk there is to, as we approach limited indoor dining and also, other possible restrictions coming to place? Thanks.
Jim Hope: Yes, that number like store closures is equally difficult to get to because they're managing that. But I can tell you, it's impressive to see how restaurants are managing through indoor versus takeout and curbside. They've done an amazing job being flexible and agile and being able to handle the shift in demand and how people want food. And we couldn't be more pleased with how our customers have taken care of that. And they know what they're doing. They have a great experience. They're just really hard working folks. So I would expect that number obviously is significantly higher than it was and it may grow. Sure, I'm pleased with how they've done that.
Operator: . Our next question comes from the line of Lauren Silberman of Credit Suisse.
Lauren Silberman: Thank you. I wanted to ask about the independent case growth, your customers tend to be concentrated with chain, Pizza Italian to perform better and exposed to the wallet share growth and expansion of skews. Is there any way to quantify the relative impact of restaurant comp declines, wallet share and net new customer acquisition on independent case growth?
George Holm: I'm sorry, could you repeat that? I couldn't hear it for some reason.
Lauren Silberman: Sorry. Is it better?
George Holm: Yes.
Lauren Silberman: Okay. So regarding the independent case growth, your customers tend to be more concentrated with chain Pizza Italian, which has performed better, as well as wallet share growth that you spoke to and expansion of skews. Is there any way to quantify the relative impact of restaurant comp declines, wallet share and net new customer acquisition on independent case growth?
George Holm: Correct. I think that that's probably difficult. I mean, our chain business has not actually been that great. We do a lot of casual dining, and it's more difficult for them. So that has not been a contributor. Pizzerias have done well, Italian restaurants have done surprisingly, well, and Mexican restaurants have done well. But to be able to quantify it, it's just not something that we do.
Jim Hope: I'd agree with that, George. I got to tell you though; we're really pleased with sales growth return a recovery so far. I'm really pleased with the investment we made in the Salesforce and how it's paid off and the Reinhart integration and performance is doing exceptionally well, the Eby integration and performance is going exceptionally well. Did you have another question?
Lauren Silberman: Yes. So differences -- are you seeing any differences in wallet share penetration among new customers that you're bringing into the system, relative to cohort that you're bringing pre-COVID. So just trying to see if there's a greater willingness for new customers to buy more from kind of a single distributor?
George Holm: I don't think there's any difference really. The environment is from a competitive standpoint is just the same as it's been for quite a while.
Lauren Silberman: Okay. That's fair. And then just thinking through the supply of independent food distributors in the market and recognize their limited visibility. But would you expect the commensurate level of closures amongst peers that you would expect on independent restaurants?
George Holm: Not from what I've seen so far, no. I mean, if we get a kind of a second wave of closures of markets, I think that could have an impact. But we just don't see a lot of stress in the industry.
Lauren Silberman: Thatâs fair.
Jim Hope: With independent distributors, we just don't see it.
Lauren Silberman: Okay. And then my final question is, there's always a churn amongst restaurants each year. So how elevated is your level of closures amongst customers currently relative to historical level of closures?
George Holm: I mean, it's certainly greater. I don't think we could quantify that either. I'm not trying to be evasive, but I just don't know how we could quantify that. We're just not losing accounts at any different rate than we were in the past. Matter of fact, there might even be more stability from the standpoint that, people just kind of hunker down doing things the way they've always done it. I think what helped us is just additional skews within our existing customer base. Not a big difference between how many we lose or how many we gain.
Operator: Our next question comes from the line of Peter Saleh of BTIG.
Peter Saleh: Great, thanks for taking the question. I know you guys mentioned if you're seeing maybe single-digit closures, maybe high-single-digit with maybe a little bit more on the coast, can you provide any more sort of clarity or detail around the types of customer that you think may be closed and is sort of characteristics, type of cuisine. Is it more with terms of restaurants that maybe a little bit more or slightly higher average guest spend, any sort of details around that would be helpful? Thank you.
George Holm: Yes, I would say that we see a little higher percentage on the high-end. I think it's difficult if you can see people to get that kind of price point for a pickup or a takeout or delivery, it's just not the same experience. So that I would say, and it is certainly more difficult if you don't have a good takeout program, if you don't have a good curbside program, if you've got a small restaurant, even if it's at 50%, it's hard to get 50% of what you would normally get in there. I think that's difficult. No, and I do believe those restaurants that are closed have been closed for quite a while but still will open when the opportunity is right. I've talked to people; they're just going to shut down for the winter if things don't change. But that doesn't mean they won't come back later. And then of course, if you've got outdoor dining, you've done better, less likely to have closed your doors, just all those things that you logically think would happen.
Peter Saleh: All right, that's very helpful. Can I ask, have you seen more restaurants come online for the first time as capacity restrictions in some municipalities are lifted for maybe 25% of seating to 50% of seating, do you see more restaurants decide for the first time to open their doors when that level increased?
George Holm: Yes. And we've seen people; good visitors where it goes from 25% to 50%. And they were doing very well with takeout and elected not to open at 50% the dining room but continue to do business. I think there's every scenario that you could possibly have. I think we've seen I mean, there are people out there doing extremely well right now and still have not opened their dining rooms.
Operator: And that was our final question. I'd like to turn the floor back over to Mr. Bill Marshall for any additional or closing remarks.
Bill Marshall: Thank you for joining our call today. If you have any follow-up questions, please contact us at Investor Relations.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may now disconnect.